Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the third quarter 2013 earnings call. [Operator Instructions] I would now like to turn the call over to Mr. Ed Lowenfeld. Please go ahead, sir.
Ed Lowenfeld: Thank you, Michelle. Good morning, everyone. Thank you for joining us for our third quarter 2013 earnings call. Our earnings press release was filed this morning with the Securities and Exchange Commission, and materials for our earnings call are posted on our website, lear.com, through the Investor Relations link. Today's presenters are Matt Simoncini, President and CEO; and Jeff Vanneste, Chief Financial Officer. Also participating on the call are several other members of Lear's leadership team. Before we begin, I'd like to remind you that during the call, we will be making forward-looking statements that are subject to risks and uncertainties. Some of the factors that could impact our future results are described in the slide titled Investor Information at the beginning of the presentation materials and also, in our SEC filings. In addition, we will be referring to certain non-GAAP financial measures. Additional information regarding these measures can be found in the slides titled non-GAAP financial information at the end of the presentation materials. Slide 3 shows the agenda for today's review. First, Matt Simoncini will provide a company update. Next, Jeff Vanneste will cover our third quarter financial results and 2013 outlook. Then, Matt will return with some wrap-up comments. Following the formal presentation, we will be pleased to take your questions. Now please turn to Slide 4, and I'll hand it over to Matt.
Matthew J. Simoncini: Great. Thanks, Ed, and good morning. Lear had a strong third quarter, with sales and earnings growing faster than the industry production. Sales in the quarter were $3.9 billion, up 11% from the year ago, and our core operating earnings increased 15% to $207 million. Our EPMS segment achieved record quarterly earnings and the 16th consecutive quarter of year-over-year margin improvement as the business continues to benefit from market share gains and an improved cost structure. As a result of our strong performance year-to-date, we are increasing our full year guidance, and Jeff will provide the details a little later in the presentation. Slide #5 provides our margin outlook for Seating. When we established 2013 guidance in January, we indicated that our Seating margins for the year would be in the mid-5% range. As we look ahead to 2014, we expect meaningful improvement in our Seating business, with margins for the full year of approximately 6%. While full year Seating margins are projected to improve, the early part of the year will be negatively impacted by the continuation major program changeovers, as well as annual price downs, which generally are effective at the beginning of the year. Performance in Seating should improve steadily throughout the year as we continue to digest major program changeovers and implement manufacturing efficiencies, VAVE cost reductions and certain commercial resolutions. We also expect to benefit from modest volume improvements in Europe, improvements in South America and increased earnings from the investments we've made and the expansion of our component capabilities. We plan to provide a full 2014 guidance in January. Slide 6 shows progress we've made on our strategy of selective vertical integration and expansion of our component capabilities in emerging markets and low-cost countries. We believe this strategy will improve our competitiveness, better support our customers and enhance our quality and provide an avenue for future growth. We also believe these actions are aligned with increasing customer trends towards global platforms, localized content and increased direct-to-component sourcing. From 2011 to 2013, we have invested approximately $350 million to open new component facilities. As a reference, we define components as parts that are not required to be assembled and delivered in a just-in-time manner. Our sales in the new plants are forecast to be over $1 billion this year, and we believe that will be a future driver of sales and earnings growth. Slide 7 provides an update on last year's acquisition of Guilford Performance Textiles, a leading global provider of fabric for seats, headliners and other interior applications. We have focused our M&A strategy on acquisitions that can grow, strengthen and further diversify our business. We purchased Guilford for approximately $250 million, and this acquisition added sales of about $400 million at margins that are consistent with longer-term target seating margins. Since the acquisition, we have been benefiting from administrative and operating synergies, and Guilford's performance has exceeded our expectations. In addition, Guilford has strengthened our existing industry-leading seat cover business by providing increased design, technical and manufacturing expertise. With Guilford, we have been able to offer our customers unique fabric designs, as well as custom seat covers, which gets us involved earlier in the design process and provides lower-cost seat cover solutions for our customers. The Guilford acquisition also has facilitated certain manufacturing efficiencies in our industry-leading cut-and-sew operations and in general, provides greater growth opportunities for our seating business. Since acquiring Guilford, we have developed a number of new fabric options, including providing cost savings through strategic wear placement, durable fabrics for excessive-wear applications, secondary embellishment technologies and fabric performance finishes to preserve and protect the seat surface. We continue to invest in complementary technologies, such as laser etching and polymer printing, to allow distinctive expression and upscale appearances with reduced time to market. Slide #8 provides a summary of the cash we've returned to shareholders since early 2011 through our share repurchase and dividend programs. In 2013, we repurchased $1 billion of stock, including $200 million open-market purchases in the first quarter and $800 million in an accelerated share repurchase program initiated in April. Under the ASR, we retired 11.9 million shares of stock in the second quarter, which represented 80% of the ASR's transaction value at a price of $53.95 per share. The ultimate number of shares to be repurchased and the final price paid per share will be based on the weighted average price of the company's common stock during the term of the ASR agreement. The ASR transaction is expected to be completed no later than March of 2014. Since initiating the share repurchase program in early 2011, we have repurchased 27.1 million shares of common stock, which represents a reduction of approximately 25% of our shares outstanding at the time the repurchase programs were initiated. At the time of the ASR, our Board of Directors also authorized an incremental $750 million share repurchase program. Shares repurchased under this authorization are expected to be made over a 2-year period immediately following the conclusion of the ASR. Now I'd like to turn it over to Jeff, who will take you through our financial results and outlook.
Jeffrey H. Vanneste: Thanks, Matt. Slide 10 shows global vehicle production for the third quarter. In the third quarter, global vehicle production was 19.6 million units, up 4% from 2012. Vehicle production increased in all of our major markets, led by an 8% increase in China and a 6% increase in North America. Europe production was up 2% compared to a year ago, the second consecutive quarter with year-over-year increases. Slide 11 shows our financial results for the third quarter of 2013. As previously mentioned, sales were up 11% to $3.9 billion, with all regions showing year-over-year increases. Pre-tax income before equity income, interest and other expense was $193 million, up $23 million from a year ago. Equity income was $9 million, up $6 million from a year ago, primarily reflecting the divestiture of our IAC joint venture and improved performance of our equity affiliates in China. Interest expense was $18 million, up $4 million, primarily reflecting the impact of the $500 million bond issued in January. Other expense was $17 million, up $15 million from a year ago, primarily reflecting losses associated with foreign currency fluctuations. In addition, in the third quarter of 2012, we recognized onetime net gains of approximately $3 million that included insurance recoveries, partially offset by bond redemption costs. Slide 12 shows the impact of nonoperating items on our third quarter results. During the third quarter, we incurred $13 million of restructuring costs primarily related to various actions in Europe. Excluding the impact of these items, we had core operating earnings of $207 million, up $27 million from 2012. The increase in earnings reflects the benefit of new business and increased production on key platforms, partially offset by the impact of the changeover on key programs. Adjusted for restructuring and other special items, net income attributable to Lear in the third quarter was $119 million, and diluted earnings per share was $1.45. Slide 13 shows our third quarter adjusted margins for both segments, as well as for the total company. In Seating, adjusted margins were 5.4%, down 70 basis points from a year ago. The year-over-year margin reduction was driven primarily by the impact of program changeovers, partially offset by improved production on key platforms and the benefit of the new business. Our full year margin outlook for Seating remains in the mid-5% range. In Electrical, our positive momentum continued into the third quarter. Sales were over $1 billion for the third consecutive quarter, and adjusted margins were 10.9%, up 340 basis points from a year ago, reflecting operating efficiencies and strong sales growth. Performance in the quarter benefited by the timing of commercial settlements. We now expect full year margins in our Electrical segment to be in the high 9% range. Total company adjusted margins were 5.3% in the third quarter, up 20 basis points from a year ago. Slide 14 summarizes our free cash flow, which was $61 million in the third quarter. Slide 16 highlights the key assumptions in our 2013 outlook, which reflects the latest production assumptions in our major markets. Global production of 81.6 million units is relatively unchanged from our prior guidance. Our 2013 financial outlook is based on an average euro assumption of $1.32 per euro, which is up 1% from our prior outlook. Slide 17 summarizes our 2013 financial outlook. Based on our strong performance year-to-date, we are increasing full year guidance. For 2013, Lear expects net sales of approximately $16 billion, up from our prior guidance, reflecting higher production on our key platforms. Core operating earnings are forecasted to be approximately $835 million, up from the prior outlook of $750 million to $800 million. Tax expense is estimated to be approximately $230 million, higher than our prior guidance, reflecting the higher earnings. Our effective tax rate in 2013 is expected to be approximately 30%. However, given our tax attributes, we expect the cash tax rate to be approximately 20%. Adjusted net income attributable to Lear is forecasted at approximately $505 million. Free cash flow for 2013 is forecasted at $325 million, up $25 million from our prior outlook. Now I'll turn it back to Matt for some closing comments.
Matthew J. Simoncini: Thanks, Jeff. We've had another strong quarter with sales and earnings growing faster than the industry, and our EPMS business continues to benefit from market share gains and improved operating performance. As a result of our year-to-date financial performance, we have increased our full year guidance. Our results reflect record earnings in EPMS, benefits from the investments we've made to increase component capabilities in low-cost countries and emerging markets and our acquisition of Guilford. We plan to continue to identify additional investment opportunities to further grow our business and improve our competitive position. We will continue to return to cash to shareholders through our existing share repurchase and dividend programs. And with that, we'll be pleased to take your questions.
Operator: [Operator Instructions] Your first question comes from Itay Michaeli from Citi.
Itay Michaeli - Citigroup Inc, Research Division: So what's -- maybe start on the EPMS side. Terrific margin in the quarter. I wonder if you could quantify the commercial settlement you referenced. Then two, even with that, it looks like your Q4 margin probably will run at or above 10%. So maybe, Matt, if you can update us on just your long-term thinking in that segment relative to your prior thinking.
Matthew J. Simoncini: Yes. I think -- let me start with the last part of that question and work back towards the original question, Itay. I think, longer term, in this segment, we're comfortable at about 9.5% to 10% based on our mix of business, capital intensity and engineering intensity and also, recognizing kind of the competitive landscape, if you will. At that rate, we make a significant return on our investment. I think operating margins, once we start breaking through the high-5s, low-6s, we start making real nice return on our invested capital. This business is still, I think, about 2/3 wire as opposed to connectors and electronics, which require higher engineering and capital intensity. So we get a nice, nice return in that regard. I think, in any given quarter or subsegment of the year, we could go through the high end of that. But I think longer-term planning perspective, I believe we have the ability to gain share, continue to gain share and profitably grow this business at a margin rate that's between 9.5% and 10%. For the quarter, Jeff, commercial resolutions?
Jeffrey H. Vanneste: It accounted for approximately 50 basis points of improvement in the quarter.
Matthew J. Simoncini: The quarter also benefited, Itay, though. We had a nice strong mix of business. The platforms that we run did well in the marketplace in this segment.
Itay Michaeli - Citigroup Inc, Research Division: Absolutely. And then just on the seat margin outlook for 2014. One, can you maybe talk a little bit about the cadence? I assume maybe you'll be off to a slower start because of the changeover in North America with the GM trucks. How should we think about that kind of roughly around 2014?
Matthew J. Simoncini: Yes. I think what we'll see is it'll start off a little bit lower than our exit rate for 2013, ramping up through the year. I think key drivers on this is, besides the changeover, continued changeover of the portfolio led by the remaining GM large truck platforms, is on January 1, we typically have a fairly big slug of commercial pricing commitments to our customer, as we continue to work with them to reduce their material costs and improve their competitiveness. A lot of that hits on Jan 1 or is effective January 1, and I think that's a key driver. And as we work through the year and are able to execute some value engineering, get some of the launch costs behind us and improve our operations, we typically increase margins.
Operator: Your next question comes from Rod Lache from Deutsche Bank.
Rod Lache - Deutsche Bank AG, Research Division: Just, first of all, in prior years, I think that you typically -- not every year, but typically did have better margins in the fourth quarter than the third quarter, with, I think, the commercial settlements very often happen in the fourth quarter. Are you thinking that the seasonality of that changed? And wouldn't that be or would that be the same still in the Seating business?
Matthew J. Simoncini: No, you're right. Typically, that is how it shakes out, Rod. I think from our standpoint, on certain key platforms, the volumes on them are a little bit, actually, lighter in the fourth quarter. We had a strong third quarter on certain key platforms, and we're seeing a little bit of a pullback on that. So it's really about the mix. From commercial resolutions, speaking of Electrical, for instance, we pulled into the third quarter resolution that we're expecting in the fourth quarter. But right now, based on what we're seeing in the marketplace, with some choppy emerging markets, we think it'll be a relatively flat quarter.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And how should we be thinking about the incremental margins in the Electrical division going forward?
Matthew J. Simoncini: I think, longer term, 9.5% to 10% is about the right rate based on the capital intensity and engineering intensity on our portfolio as it sits today because it is 2/3 wire, Rod. I think, at this rate and at these margins, we can continue to gain share and grow the business profitable. But with the competitive landscape, I think that's the right margin at this point to plan for.
Rod Lache - Deutsche Bank AG, Research Division: You're saying that, that's the right assumption for incremental margin, as well as...
Matthew J. Simoncini: No. Incremental -- I mean, it depends. On new just volume, on volume recovery, typically, it's in the 10% to 15% range. On new programs, usually right around 10% on the backlog. But there is a baffle, and there is the obligation to continue to return productivity to your customers. And I think with the competitive landscape in there, I think, it kind of balances out at that rate longer term. I don't think they grow into perpetuity, if you will, the margins.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And just last question. Can you just give us some color on working capital trends? Is it a fair amount of capital that was consumed there over the 9 months? And how should we be thinking about -- just for $1 of revenue growth going forward, what's the working capital commitment that you'd need to provide?
Jeffrey H. Vanneste: Well, I think as we look at the sales trend going forward and increasing sales, certainly, what's going to accompany that is likely to be some level of increase in working capital requirements. Certainly, part of what we are focused on right now is the inventory, given the launches, given some of the inefficiencies that we've mentioned in areas like South America. Part of the goal there is to take a slug out of working capital, given the inventory required for those launches. I think, going forward, I think you'll see a similar cadence, maybe less increase in working capital, given some of the initiatives we have. But you'll see some level of continued working capital increases going forward.
Matthew J. Simoncini: What's evolved in the business, Rod, as you know, is the complete JIT model, which did not require us to maintain a lot of inventory to a more global model with a level of direct to components, which extends the supply base. We're working with the supply base and working with our customers to try to balance that a little bit more. I think the rate of consumption of working capital to dollar of sales growth is going to decrease. But working capital needs are going to, like Jeff said, continue to increase.
Rod Lache - Deutsche Bank AG, Research Division: Could you share a rule of thumb, maybe, for us? For $1 of revenue growth, what is the reasonable assumption for working capital?
Matthew J. Simoncini: I really can't because it depends on where that $1 of growth comes from. If it comes from certain emerging markets, which has an extended global platform supply base, if you will, many times, you're going to be sending components from Europe into places like India or Brazil, and that extends the working capital. So I'd be a little bit hesitant to simplify it at that rate.
Jeffrey H. Vanneste: And I think, Rod, just one other comment, which is, certainly, working capital in particular can be sensitive to the fiscal quarter end. And a couple of days here or there can make a pretty significant difference on receipts and disbursements. So I think Q3 was particularly affected by that.
Matthew J. Simoncini: Yes. Where did we cut off the Q3 exactly, Jeff?
Jeffrey H. Vanneste: 28th of September, and that 1 day versus last year, for example, which I think Rod is referencing, can have an impact and did have an impact.
Operator: Your next question comes from John Murphy from Bank of America Merrill Lynch.
John Murphy - BofA Merrill Lynch, Research Division: Just a first question, Matt. You had mentioned that you were making a lot of market share gains in the EPMS business. And I'm just curious, if the growth that we're seeing or the outperformance that we're seeing really is from you gaining market share or is there also a lot it is coming from just actual dollar content growth as the automakers focus on more electronic content.
Matthew J. Simoncini: Well, it's both. I mean, we're seeing an average content growth of around 3% in the segment, as they add additional features and use more signals in the vehicle, John. But we're also penetrating share. I mean, this business, over the last several years, is doubled. And so we're penetrating and we're gaining share and we're -- in every region in the world. So it's a combination of both.
John Murphy - BofA Merrill Lynch, Research Division: And is that share gain coming from smaller fragmented suppliers? Or do you think you're actually going up some of the -- against some of the big guys and winning takeover business there?
Matthew J. Simoncini: We're winning takeover business from the big guys.
John Murphy - BofA Merrill Lynch, Research Division: Got you, and that's helpful. And then on the launches and the changeovers, is there anything unique that's going on there other than sort of the GM truck launch or any other large launches? Are there any delays or problems with the launches that are creating some sort of near-term heartburn? Or is it just regular course, just a lot of launches?
Matthew J. Simoncini: It's a lot of launches. And it's -- the portion of the portfolio is changing over the combination of it. So we are in the final 1/3, if you will, or -- I hate to use a baseball term coming from Detroit these days. But we're in the bottom of the seventh and -- of the launches and the changeovers. And there's 2 dynamics there. One, there's the additional launch costs and inefficiencies associated with launching product. But there's also such a significant amount of the changeover in the portfolio. When new programs roll out, they typically rollout in a lower margin than the business that they're replacing because we haven't had years of cost reduction, value engineering ideas go into the customers and the plants just haven't been, in many cases, laid out in the most efficient manner with the new business coming on. So I think both dynamics are impacting us. And launch costs will correct themselves relatively quickly. Program profitability usually takes a little bit more time to execute and improve.
John Murphy - BofA Merrill Lynch, Research Division: And then just lastly on Europe. I mean, you're outperforming in a lot of regions. But the outperformance in Europe segment is pretty impressive. Is that a combination of Seating and Electronics? And what is really driving that? Because it is -- it's a weak market, but you seem to be doing very well. I'm just trying to understand what the outperformance is being driven by.
Matthew J. Simoncini: Well, both segments have improved their performance in Europe. In Electrical, that segment is mature and has a fair bit of vertical integration. And we've spent a significant amount of restructuring several years ago to get our footprint in the low-cost regions and expanded our footprint in eastern Europe and northern Africa. And as a result, it's performing at target margins. Europe, while not at target margins, is profitable in a meaningful way and has improved the margins. And again, we've done a lot of restructuring, a lot of move, a lot of -- move of the product to eastern Europe and northern Africa for them as well. And I just think it's been a solid management of that segment. The good news about Europe for us is we're pretty well represented with the A, B platforms, all the way up to the luxury brands. And many of the luxury brands have some level of resilience, both in Europe, but also as export products to other markets.
John Murphy - BofA Merrill Lynch, Research Division: Okay. And one last question, I apologize. The long-term targets for Seating are what? And do you think you could reach your long-term targets as an exit rate for 2014, given your expectation of margin improvement there?
Matthew J. Simoncini: Yes. I think with the current mix of business, including just-in-time assembly, foam, structures and seat covers, as well as the amount of system responsibility versus build to print, right now, we believe longer-term margins for this segment could be right around 7%. I don't believe we'll get there on the exit rate in 2014, John.
Operator: Your next question comes from Ryan Brinkman from JP Morgan.
Ryan J. Brinkman - JP Morgan Chase & Co, Research Division: I know you report your profits by business segment and only revenue by geography. But I'm curious, because you do get 38% of your revenue from Europe, if there's anything you can say about the overall profitability of your operations there. I'm trying to gauge just how much margin opportunity there could be -- how much profit opportunity there could be, I guess, if both the European market normalizes and then your own margins normalize in Europe.
Matthew J. Simoncini: Well, you're right. We are solidly profitable. The profitability in Europe, I think at one time we said had reached, for Seating, around 4%, pulled back at around 2%, 2.5% during the pullback. We're significantly higher than the 2.5%, approaching kind of the 3.5%, 4% range in Seating. And what drives those margins a little bit lower besides the significant reduction in volumes is the reduced vertical integration on the components in Europe, which is a little bit higher, if you will, in North America. So the margin opportunities and the capital intensity in North America is a little bit higher than it is in Europe, and for that, we command a higher margin. In Electrical Distribution, which is a very mature business for us, we've worked really hard on the footprint, as I mentioned earlier, and has a fair bit of vertical integration at connectors and boxes. We're able to achieve the kind of target margins for the segment overall, and it's running consistent with it. As far as opportunities, I still think Europe's going to be a longer-term recovery. I do believe we're at the bottom. I do think margins will remain a little bit lower than target margins overall for Seating. I think we'll maintain the margins that we have in Electrical. Some volume would help us, and we think it's going to come back, but we think it's going to be a very slow and choppy recovery.
Ryan J. Brinkman - JP Morgan Chase & Co, Research Division: That's great color. Maybe just a quick question on Seating. Using the preliminary Seating margin guidance that you provided today for 2014, if we sort of -- that's a margin number. If we just sort of simplistically assume that your revenue grows roughly in line with global light vehicle production growth of, I think, 4% by IHS, our quick math seems to suggest that, that's about a 17% incremental margin. I was curious if that seems right to you? Or maybe if can't comment on that, perhaps you can just share what you view as normalized contribution margins for the Seating business and then what some of the puts or takes might be in 2014 that could make Seating contribution margins differ from a normalized amount.
Matthew J. Simoncini: Yes. There's about 1,000 inputs that go into making a projection. And it really comes down to which car line moves up in the mix, Ryan, because each car line kind of has its own financial DNA, if you will. Some of the variances besides running the amount of manufacturing locations that we do efficiently, and assuming there's no disruption in any way, is the mix. But on top of that, another variable would be pricing. Typically, we give about 2% of pricing a year net to our customers, as we help them try to achieve their cost targets and their cost models. And I think that's actually one of the things that Lear does extremely well, is help our customers reduce cost. And so while the incremental volume typically comes in at 10% to 15%, depending upon what region a car line comes in, there's other offsetting type variance, if you will.
Ryan J. Brinkman - JP Morgan Chase & Co, Research Division: Okay. And then just last question for me. You already mentioned that we've reached the bottom in Europe in your view. We've heard from Autoliv yesterday that mix was improving there, luxury was doing better, maybe excess inventories are starting to come in line. I'm just curious what may be the latest is that you're seeing on the ground, I mean, anecdotal evidence you're seeing that us, as analysts on the outside, aren't able to see.
Matthew J. Simoncini: We see steady. It's -- Ryan, it's been pretty steady. There hasn't been shutdowns and extended shutdowns, if you will, that you would typically see when there's excess capacity in Europe. So to us, I would probably agree with what Autoliv said. I think there's some strength in the luxury brands that also lend themselves to export. And I think I've seen a little bit of chop in the A, B platforms. I think certain carmakers are doing a little bit better than others. The Germans seem to be doing a little bit better than some of the other ones. But all in all, we're confident that we are at the bottom, and we're seeing -- we're starting to see the recoveries sprout, if you will.
Operator: Your next question comes from Joseph Spak from RBC Capital Markets.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Just continuing on the Seating conversation. And you talked a little bit about further improvement beyond 2014. Is that mainly volume driven at this point? Or are there additional cost actions or inefficiencies to give way beyond '14? I guess, just how should we bucket, in terms of order of magnitude, the drivers that take us from, call it, a 6% level back to 7%?
Matthew J. Simoncini: It's not just volume alone, although volume would help us, because one of the drivers that hurt the margins was the significant pullback in Europe, where we received roughly 40% of our revenue in this segment from. So a volume recovery there would be a part of the solution. But as well, it's also additional value engineering and commercial resolutions on some of these programs that are launching, as well as the efficiencies associated with that program launch. I would say each is about 1/3 responsible. And there's just the ongoing existing operational efficiencies that we drive through every year. So I would say it's pretty well balanced. It's not all volume.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then -- so I know one of the drivers you've talked about in the past is South America. And I think you expect it to maybe turn profitable in the back half. Did that occur during the quarter or...
Jeffrey H. Vanneste: During the third quarter, no. I think we had indicated that by the end of the year, we had hoped to get to roughly break-even margins. And I think the current assumptions right now would be we'd be in and around that area at the end of this year and ultimately, getting into next year.
Matthew J. Simoncini: And that's specifically for Seating and Electrical business, which has a footprint in South America as well. They've been able to get to slightly profitable in the third quarter.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay, great. And then on EPMS, good to hear you sort of take up the longer-term margin target a little bit. How are you on capacity? You talked about gaining share. I mean, are you going to need to build that out a little bit over time?
Matthew J. Simoncini: Yes. I think, as we win new programs -- one of the reasons capital has been elevated is because of our significant backlog over this last several years. We do have some level of excess capacity in northern Africa and in China to support future growth. But at some level, if we keep winning business at this rate, then we would have to maintain what has been a slightly elevated capital spend. But I don't think it will be incredibly meaningful.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And one last quick one for me. When you talked about taking share on the EPMS business, is that more on the wire harnessing side or on the connector side? Because I thought, historically, the connector-type business is a little bit stickier, so just wondering if something changed there. Or if you're winning business in that segment, sort of what's the go-to-market strategy that's causing you to win?
Matthew J. Simoncini: What's causing us to win in that segment -- and you're right, it is a smaller segment for us, and we don't have the full catalog of connector, standard connectors. What we specialize in is specialty and high-powered connector systems, which is the higher value added. And why we're winning business in that segment -- and we are winning business in all 3 major component groups: wire, connectors and our junction box business. What's driving the wins there and the market share gains in the connectors business is really the footprint -- the product is evolving to no -- more nonstandardized solutions because of high-powered and some other applications and the penetration of content. But we've invested heavy in this segment. We -- about 6 months ago, I think we opened our first connectors facility in China, and that's doing really well to support growth in that region. So we are winning in all segments, and it's being driven by our capabilities and the evolution of the components to more nonstandardized solutions.
Operator: Your next question comes from Colin Langan from UBS.
Colin Langan - UBS Investment Bank, Research Division: Any color -- at the beginning of the year, you gave guidance, at the Detroit show, that EPMS would be -- sort of the outlook was around 8%. And now you're guiding 9.5% to 10%. What changed through the year? What has gotten a lot better that sort of makes you more bullish on the long-term outlook for that segment?
Matthew J. Simoncini: I think our execution on transferring the product to lower-cost regions and some of the performance that we're seeing, not only in North America and Europe, but in the emerging markets, has been very successful. I think we worked very hard to design some costs out of the product and share the benefit of that with our customers. So we're a little bit ahead of schedule on the product moves and the growth. Volumes helped us at certain key car lines as well.
Colin Langan - UBS Investment Bank, Research Division: I mean, this always comes up periodically, but any thoughts on -- it doesn't seem like there's a lot of synergies between Seating and EPMS. I mean, would you ever consider divesting the business? What factors would you consider, as you think about long term?
Matthew J. Simoncini: No, I wouldn't -- there's actually a lot of synergies between the 2 segments, not the type direct synergies that you would think of. But besides the fact that Seating uses a harness in their seats, there's a lot of synergies from a commercial approach, from a sharing of talent back and forth, whether it's manufacturing talent or administrative talent, commercial talent, sharing admin centers and sales and technical centers all around the world, logistics, if you will, have synergies and sharing truck lines and truck routes. So there's a lot of hidden type of benefit. We also believe there's a benefit in diversifying our portfolio, and we have no intention of ever divesting EPMS.
Colin Langan - UBS Investment Bank, Research Division: Okay. That's very clear. And just lastly, any update on where you view your share in China in both Seating and EPMS at this point?
Matthew J. Simoncini: Yes. In EPMS, we're #4, but gaining quickly, if you will, behind Sumitomo, Yazaki and Delphi. And in Seating, we're #2 behind Johnson Controls.
Colin Langan - UBS Investment Bank, Research Division: And any sense of the percent of the market in Seating you have or...
Matthew J. Simoncini: It's a hard market to call. We estimate it at about low-20s. I'm looking at my artificial intelligence, low-20s. But it's a hard market to call because of the joint ventures.
Operator: Your next question comes from Brett Hoselton from KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: Let's see, 3 different questions. First, Seating margins. And I don't mean to nitpick you here, Matt, but in the past, you've talked about Seating margins, maybe longer term, getting up into that 7% to 8% range. Today, you're kind of talking a little bit about 7% range. I guess I'm wondering has something changed in your view or is it just 7% -- 7%, 8% is kind of the rough expectation.
Matthew J. Simoncini: We're seeing a gradual kind of evolution of the business to more direct-to-component sourcing, which is nothing new. It's just a continued trend. We're also seeing a trend to sometimes build to print designs as they go to more common platforms and architectures, all of which requires less capital intensity and less engineering intensity upfront, which then results in, I think, commercial requirements to make less margins, if you will, and still have a significant return on investment. So really, it really depends on the mix of the business, the amount of components, the capital intensity. For us, in the current configuration of the business, when we're above mid-5s, if you will, we're making a nice return on investment and have a gap to our cost of capital. So between market pressures, mix of the business, we think longer-term margins will balance out at 7%. But I really don't see it a whole lot different than 7%, 7.5%, but about 7% right now.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And then with the Electronics margins, I mean your incremental margins, over the past 8 quarters, have been 22%. So very, very good incremental margins, and you're pretty close to that longer-term margin target of 9.5% to 10% today. And I guess, what I'm wondering, can you talk about some of the headwinds that you anticipate might kind of mute that incremental margin as you go forward.
Matthew J. Simoncini: Yes. I mean, first and foremost, we're in a pretty competitive segment, a lot of competitors out there and a lot of aggressive price targets from our customers, who are looking always to reduce their costs. That would probably be the biggest reasons why margins wouldn't grow, let's say, into perpetuity or expand behind -- well beyond, let's say, a 10% type number. Our business, too, is a little bit different than some of our competitors'. We're a little bit heavier in the wire harness as opposed to the electronics and terminal connectors, which require a lower margin to have the type of returns that excess our cost of capital. So I would say that's probably the main driver.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: Okay. And then, as I think about your capital, you're kind of essentially net debt/cash neutral at this point in time. You got little bit excess debt. Your $750 million share repurchase kind of beyond March of 2014 seems to, basically, spend your free cash flow over that period of time. That's obviously my guess, but that seems like a reasonable approximation. So that kind of leaves you net debt/cash neutral. And you got a business generating $1.1 billion, $1.2 billion in EBITDA. A 1x net leverage ratio suggests that you've got maybe another $1 billion or so that you could do something with. And I guess my question is, what do you think you might do with that?
Matthew J. Simoncini: Well, I think having financial flexibility to invest in the business, in future competitiveness and potential consolidation in the space is a good thing to have. Still a relatively volatile industry, uncertain industry, and I think those with investment-grade metrics and financial flexibility will be the winner. And with the global platforms and the expansion around the globe, I think the firms that will win in the long run are those that have the capability to invest in that type of expansion. So first and foremost, we always look to invest in our business. We've had nice returns, not only in our organic investment, as you can see with the market share gains and the margin improvement that we've had in Electrical, but also with the Guilford acquisition, which is performing extremely well. We would look to continue to do investments of that type, Brad, first and foremost. And I think the board has also demonstrated that excess cash will be returned to the shareholders.
Operator: Your next question comes from Ravi Shanker from Morgan Stanley.
Ravi Shanker - Morgan Stanley, Research Division: Another question on the EPMS share gains that you said you plan to get. Have you seen any movement at all with the market share of the Japanese players there, both their being found guilty in some of these antitrust investigations?
Matthew J. Simoncini: No, we have not seen that change the competitive landscape, the fact that they had to plead guilty to price fixing.
Ravi Shanker - Morgan Stanley, Research Division: Got it. That's fair. A couple of housekeeping items. Your corporate expenses as a percentage of revenue spiked a little bit this quarter to 1.6%. Anything unusual going on there? And what do we assume as a normalized run rate?
Matthew J. Simoncini: Yes. No, there's not anything unusual there. What's happening is when we expand our global capabilities and add structure in places like Brazil, Russia, ASEAN, China regions of the world, when those facilities are shared or support business segments, we capture it in the corporate HQ strip, if you will. So nothing unusual. There's also some compensation costs associated that are buried in that number. But I think on a go-forward basis, Jeff, the run rate would be -- how would you characterize it?
Jeffrey H. Vanneste: I think, in the near term, we're probably looking at $55 million to $60 million on a quarterly basis.
Ravi Shanker - Morgan Stanley, Research Division: Okay, that's fair. Also, your interest expense guidance seems to imply a pretty big bump in the fourth quarter. Anything to explain that?
Matthew J. Simoncini: I think what we've tried to do in the organization, I think successfully so, is this, the amount of money that we have that isn't efficient for daily use, we've been putting a heavy focus on that. And these are in areas in -- primarily in Asia, that are in countries that are difficult to pull cash, or in some of our joint ventures, where we try to pull money out of those joint ventures and bring it back to the U.S. And ultimately, as a result of bringing the cash back, we've been able to improve our overall net interest expense situation, which is kind of the reason why we improved the guidance in that area.
Ravi Shanker - Morgan Stanley, Research Division: Okay. And just finally, on the ASR. Your stock price right now is significantly above the price at which the ASR was struck. Can you remind us again how that works at the end of the process? Do you have to hand shares back to the executor?
Matthew J. Simoncini: Yes. There's a settlement at the end of the ASR, which could settle as late as March of next year. And if the settlement price is ultimately above a certain breakeven point, we'll either put back -- if the settlement price is above that breakeven point, we'll have to either put back shares or cash to the bank. And conversely, if the settlement price is under that breakeven point, we'll retire more shares as part of that settlement.
Ravi Shanker - Morgan Stanley, Research Division: Got it. So I believe the settlement price is 66, 67. So do you expect to do that via cash or equity at this point?
Matthew J. Simoncini: I think where we're probably at, right now, is that there is likely to be a settlement, whereby we'd have to put back cash, which we -- I think would be our preferred choice, back to the bank in settlement.
Jeffrey H. Vanneste: It's a good problem to have.
Operator: And your final question comes from Matt Stover from Guggenheim.
Matthew T. Stover - Guggenheim Securities, LLC, Research Division: I understand the difference in margin between the EU and North America relative to the degree of vertical integration in the 2 markets. Is there anything that would stop you from changing your vertical integration strategy in Europe? And if you could update us on how the margins look in the North American structures business relative to the average.
Matthew J. Simoncini: Yes. I would tell you that we would want to go faster with vertical integration. It's been a great investment for us in Europe. We had some footprint issues that we needed to address and we have. And it's been a great investment. If anything, I'd tell you that, from our standpoint, we have an industry-leading seat cover business there. We'd be looking to bolster it with additional fabric and leather capabilities in Europe, that's been a great investment for us in North America and in Asia. From a structure standpoint, foam, we're making nice returns. In North America, I still think we have some footprint issues we need to address. It's lagging slightly, but I think it's doing well. And I think it's a core competency if you're going to be in the business. As the business evolves to common platforms, common architecture, higher requirements for safety, I think you have to be in the structure business, just like I think you need to be in the foam business to protect your quality and also to ensure that you're capturing a margin that's related to that product. So they've been good investments. We'd be looking to do more.
Matthew T. Stover - Guggenheim Securities, LLC, Research Division: Okay. Second question is on the M&A front. You identified that opportunistic M&A could be a use of capital. I've sensed in the market that there's a concern that you folks might go out and do something a little bit bigger than bolting on within your existing business. Now I was wondering if you could kind of characterize how you guys think about the M&A strategy. Is it sort of more bolt-on and consolidation? Or are you looking at things that are bit more transformational?
Matthew J. Simoncini: I mean, first and foremost, Matt, we look at strategic fit as opposed to opportunistic. And many of the things that we think would be a strategic fit aren't actually for sale. So it takes a longer time to start the dialogue with the ownership groups on our interest and their desire, possibly, to sell. From then, we go on to a valuation and we look at buying at the right price. And we've been very disciplined in our approach to market, both strategically and on valuation, as evidenced by what we've been able to achieve with Guilford. From our standpoint, we don't -- we talk about niche acquisitions or bolt-ons. We don't think there is anything transformational out there nor do we think we need anything transformational. We look for opportunities to strengthen our 2 core businesses, to diversify and to add some technical capabilities. I think you'll see acquisitions in the range of what we did with Guilford. I don't see a significant one out there, and I don't think we need one. I think that's it, isn't it?
Operator: I have no further questions in queue.
Matthew J. Simoncini: Thank you. For those of you that are still on the call, our employees at Lear Corporation, I want to thank you for all the hard work and effort and tell you to keep pushing. Let's finish the year strong. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.